Operator: Ladies and gentlemen, thank you for standing by and welcome to the American Express First Quarter 2016 Earnings Call. At this time, all lines are in a listen-only mode. Later, there will be an opportunity for your questions and instructions will be given at that time. And as a reminder, this conference is being recorded. I'll now turn the conference over to Head of Investor Relations, Toby Willard. Please go ahead, sir.
Toby Willard - Head of Investor Relations: Thanks, Cathy. Welcome. We appreciate all of you joining us for today's call. The discussion contains certain forward-looking statements about the company's future financial performance and business prospects which are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these forward-looking statements are set forth within today's presentation slides and in the company's reports on file with the Securities and Exchange Commission. The discussion today also contains certain non-GAAP financial measures. Information relating to comparable GAAP financial measures may be found in the first quarter 2016 earnings release and presentation slides as well as the earnings materials for prior periods that may be discussed, all of which are posted on our website at ir.americanexpress.com. We encourage you to review that information in conjunction with today's discussion. Today's discussion will begin with Jeff Campbell, Executive Vice President and Chief Financial Officer, who will review some key points related to the quarter's results through the series of presentation slides. Once Jeff completes his remarks, we'll move to a Q&A session. With that, let me turn the discussion over to Jeff.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Well, thanks, Toby, and good afternoon, everyone. Overall, our first quarter results were consistent with the expectations we've provided just last month at Investor Day. As a reminder, we closed our presentation at Investor Day by highlighting our focus on accelerating revenue growth, optimizing investments and resetting our cost base. In addition, I made some specific remarks about Q1, including updates on volume trends and several significant quarterly items such as the close of the JetBlue portfolio sale and the modest restructuring charge, all of which came in about as we expected, and all of which I will describe in more detail later in my remarks. Earnings per share was $1.45 during the quarter, which included a $0.05 impact for the restructuring charge, a $127 million pre-tax gain from the sale of the JetBlue co-brand portfolio, higher revenues and elevated investment levels. We did see an increase in FX-adjusted billed business growth from 5% during the fourth quarter to 6% in Q1, but there were a number of items that influenced first quarter performance, including a benefit from leap year and a drop-off in Costco-related billings as we move closer to the end of the relationship. As expected, we also saw a larger-than-usual year-over-year decline in our reported discount rate and the impact from a stronger U.S. dollar. The results also reflected healthy underlying loan growth, excellent credit performance and a strong balance sheet that enabled us to return a substantial amount of capital to shareholders. Stepping back from the quarterly results, we believe that our outlook for fiscal 2016 earnings per share to be between $5.40 and $5.70, and for full year 2017 earnings per share to be at least $5.60 remains appropriate. This outlook excludes the impact of restructuring charges or other contingencies. As we discussed at Investor Day, we anticipate that relative to Q1, we will see higher earnings per share during Q2 due to the portfolio sale gain, and then lower earnings during the second half of the year as our relationship with Costco ends and we continue to invest at elevated levels. As we discussed first on the Q4 earnings call and then highlighted again at Investor Day, there is a bit more uncertainty around the second half assumptions versus the first half of the year. While we believe that we have taken a balanced approach, we will have a much clearer view of the impact of the end of the Costco relationship as we progress through the year. Before moving on to slide, I did want to highlight several changes to our earnings material this quarter. As we discussed at Investor Day, we have changed our segment reporting to reflect the organizational changes we made late last year. In addition, to help streamline the financial information we release each quarter, we have consolidated the information included what we call the Earnings Supplement into a single set of earnings tables and slides. We believe this will make it easier to digest the information while not reducing the overall level of information we provide. To move now to the slide presentation and begin with a summary of our financial results on slide 2. Billed business increased by 3% during Q1, which is up from 2% growth last quarter. On an FX-adjusted basis, billings growth also accelerated modestly to 6% during the quarter from 5% in Q4. Revenues increased by 2% versus the prior year and continued to be impacted by a stronger U.S. dollar, although the drag from FX was somewhat smaller than in prior periods. On an FX-adjusted basis, revenue growth was 4%, which was relatively consistent with our performance in recent periods. Net income was down 6% versus the prior year as higher revenue and the JetBlue portfolio sale gain were more than offset by a higher level of investment spending and the modest restructuring charge. We again leveraged our strong capital position to provide significant returns to shareholders. Over the past 12 months, we have repurchased 69 million shares, which reduced our average share count by 6%. While the absolute dollar amount of share repurchases we did in Q1 was similar to prior periods, the number of shares we bought back was greater given our lower share price. The decline in shares outstanding, along with our net income, drove earnings per share of $1.45 for the quarter, which was 2% below the prior year. Since we have provided our 2016 EPS outlook, excluding restructuring charges, I would point out that our EPS, adjusted for the $0.05 restructuring charge, was $1.50. These results brought our reported ROE for the 12 months ended March 31 to 24%. Let's now go through the components of results, beginning with billed business on slide 3. Overall, worldwide FX-adjusted billings growth increased slightly this quarter to 6%, reflecting a benefit from leap year as well as slightly higher international volume growth. These benefits were partially offset by a larger year-over-year decline in Costco-related volumes in the U.S. as we move closer to the end of the relationship during June. To give you a better sense of the underlying trends in the core business, we provided a trend of adjusted worldwide billed business growth rate, excluding both Costco co-brand volumes at all merchants and non-co-brand volumes in Costco on slide 4. While Costco U.S.-related volumes were growing a bit faster than total company volumes at the end of 2014, they were down 16% versus the prior year in Q1 of 2016, which decreased worldwide FX-adjusted billings growth by more than 200 basis points. So taking this into account, billed business adjusted for both FX and Costco-related volumes, increased by 8% versus the prior year during Q1, which was up from 7% in Q4. Now, a portion of the increased billings growth has been driven by our efforts to capture the spend activity of current Costco co-brand Card Members. The landscape will change once Citi launches its new Costco co-brand card in June, but we will remain focused on the spend and lend activity of these customers as the environment evolves. Turning to slide 5, which shows our billing results by the new reporting segments. As a reminder, our small business results are now included in the Global Commercial Services segment, or GCS, and our Global Network business is now included within our International Consumer and Network Services segment, or ICNS. The decline in Costco U.S.-related volumes that I've just discussed has the most significant impact on the U.S. consumer volume growth rate, but it also impacts small business volumes within GCS. Lower gas and airline ticket prices also remain headwinds for both the GCS and U.S. consumer segments though they had a more modest impact this quarter. We continue, as Steve Squeri discussed at Investor Day, to see differing performance trends within GCS with better growth amongst small and middle-market businesses versus more cautious spending amongst global and large customers. Volume growth remained fastest within the ICNS segment, driven by strong GNS growth and the lapping of the end of our relationship with Costco in Canada. This lapping also drove the sequential improvement in LACC regional volume growth seen on slide 6. Looking at billings performance across the other international regions, volume growth remained strongest in JAPA, where billed business increased by 13% on an FX-adjusted basis versus the prior year. This strong growth was powered by significant year-over-year increases in Japan, as well as China and Korea, though I'd remind you that there is relatively little economic contribution from spending occurring within China and Korea. FX-adjusted EMEA volume growth was relatively consistent versus the prior quarter at 8%. With continued strong performance in the U.K., growth rates remained in the low double digits. Turning to loan performance on slide 7. On the left, you can see that our GAAP total loans were down 14% compared to Q1 2015. This decline reflects the reclassification of the Costco co-brand portfolio to held-for-sale effective December 1 and the sale of the JetBlue portfolio this quarter. To understand the underlying trends, on the right side of slide 7, we have excluded the Costco and JetBlue portfolios and adjusted for FX. This shows a modest sequential acceleration in worldwide loan growth to 11%. And as we disclosed in our regular monthly credit stats 8-K last week, adjusted U.S. Card Member loans were up 12% versus the prior year, which continues to outpace the industry. We've also provided a split of the balances between Card Member loans and other loans at the bottom of slide 7. Today, the majority of other loans relate to our merchant financing products. While it makes up a relatively small percentage of the total, other loans have been growing more quickly recently. As we highlighted at Investor Day last month, we believe that there are attractive opportunities to grow in this space going forward. Stepping back from the quarter's results, we are pleased with the steady acceleration in underlying loan growth we have demonstrated for several years. As you know, the majority of our loans relate to our U.S. card business, where growth has consistently outpaced the industry over the past several years. Industry growth rates have improved in recent years as well, which clearly has also driven a part of our recent acceleration. We continue to believe that there are opportunities to increase our share of lending in both existing customers and high-quality prospects without significantly changing the overall risk profile of the company. Turning now to revenue performance on slide 8. Reported revenues were up 2% and grew by 4% after adjusting for changes in FX. The growth was driven by higher volumes, partially offset by a slowdown in Costco related revenues and a larger than usual decline in the reported discount rate. I'll provide some additional details on the drivers of discount revenue performance and the impact from Costco in just a few minutes. First, though, looking at the other revenue drivers in the quarter, net interest income grew by 9%, given our continued strong loan growth. We also saw an uptick in card fees which increased by 5% versus the prior year. This was due primarily to growth in fees from our U.S. Delta, Platinum and Gold portfolios, all of which goes to the strength of these value propositions. To now expand on the drivers of our discount revenue performance, we told you at our Investor Day that we would begin to provide some additional information which you see on slide 9. The top line in the chart shows the trend in our reported discount rate which, to remind you, provides insight to our pricing at point-of-sale with merchants. The bottom line in the chart shows our calculated discount rate which is the rate you would derive if you divided the discount revenue that we report on the P&L by total billed business. This includes the impact of other items such as growth trends in our network business, cash rebate rewards, and incentives we pay to both co-brand partners and to clients. During the first quarter, the reported discount rate declined by five basis points, consistent with Anré Williams' comments at Investor Day about expecting a larger year-over-year change in the discount rate during the first half of this year. In addition to the factors that have traditionally driven declines in our discount rate, such as merchant negotiations and mix changes, we are also seeing an impact from the continued expansion of OptBlue as well as the regulatory changes in the EU that were enacted late last year. As you are aware, expanding merchant coverage is a key priority for us, and we continue to make progress on growing our merchant footprint this quarter. I'd also remind you that while growth in OptBlue does drive a decline in the discount rate, that impact has been more than offset on the bottom line by the benefits from incremental volumes and lower operating expenses from reduced incentive payments to merchant acquirers. Looking forward, we expect the reported discount rate to decline by a greater amount than Q1 during the second quarter due to a prior year benefit related to certain merchant rebate accruals. During the second half of the year, we expect a more modest decline in the discount rate as we will no longer have any spending at Costco where we earn a lower than average discount rate. Coming back to the calculated discount rate, it was down seven basis points in the quarter, driven in large part by the five basis point decrease in the reported discount rate. The two basis point gap versus the decline in the reported rate was driven primarily by continued strong growth in cash rebate rewards. At Investor Day, we also committed to estimating our revenue growth rates excluding Costco, which we have included on slide 10. I'd remind you that there is some judgment in this estimation. Based on our analysis, Costco-related revenues were down approximately 11% year-over-year during Q1. As a result, we estimate that our FX-adjusted revenue growth rate, excluding the impact of Costco, improved modestly during the first quarter to approximately 5%. As we discussed at Investor Day, adjusted for the impact of Costco, we remain focused on achieving revenue growth above the 4% level that we generated in 2015 during the second half of this year. I would point out that we had an unusual benefit in discount revenue in Q2 2015 that will impact the revenue growth rate next quarter. Turning to credit performance, provision increased by 3% versus the prior year, as you can see in the chart on the left side of slide 11. But this result reflects the impact of the held-for-sale accounting changes. Credit costs for the held-for-sale portfolios are now recorded through a valuation allowance within operating expenses and are no longer included in provisions. When you also exclude those credit costs from the prior year, adjusted provision increased by 12%, as shown on the right side of slide 11. The growth in adjusted provision was driven by an increase in adjusted loan balances, including the strong growth of our merchant financing products. Card Member lending write-off rates were slightly lower year-over-year and remained the lowest amongst large peer issuers. Consistent with our comments from Investor Day going forward, we expect that continued growth in loans and some modest upward pressure on our write-off rates due primarily to the seasoning of loans related to new Card Members will both contribute to an increase in provision. That said, we remain very pleased with our loan growth and believe it is driving healthy economic returns. So now turning to expenses on slide 12, total expenses were up 5% and grew by 7% on an FX-adjusted basis. This reflected a higher level of spending on growth initiatives and was influenced by a number of items in both the current and prior year. Marketing and promotion increased by 19% versus the prior year, reflecting an elevated level of investment spending. In recent years, our marketing and promotion spend was low during the first quarter and then ramped up for the year beginning in Q2. Going forward, as part of our effort to optimize investments, we intend to spread more evenly the spend across all four quarters. We continue to expect that the total full year spending on growth initiatives during 2016 will be consistent with 2015 levels. As we've discussed, one of the key focus areas for our incremental spending on growth initiatives is driving new card acquisitions. In this context, we are pleased to see that these efforts drove 2.1 million new cards acquired across our U.S. issuing businesses during the current quarter, and nearly 1 million more from our international issuing businesses, which remains well above the average level of card acquisitions in prior periods. These results include new cards from Costco co-brand Card Members who have signed up for another American Express product, which has been a significant driver of the higher acquisitions in recent quarters. An increasing portion of the new card acquisitions are also coming through digital channels, as digital represented almost two-thirds of global consumer acquisitions this quarter. Coming back to the other drivers of expense performance, the year-over-year change in rewards expense was relatively in line with reported billed business growth. Cost of Card Member services grew by 8% during the quarter, which is significantly lower than its 2015 growth rate as we have now lapped the reset impact from our renewed co-brand relationships. Operating expenses were up 2% on a reported basis during Q1 2016 but were influenced by a number of items, including the benefit from the JetBlue gain, the restructuring charge, higher investment levels and some specific benefits in the prior year. We continue to have a strong focus on controlling operating expenses and remain focused on reducing our cost base by $1 billion on a run rate basis by the end of 2017. Towards this effort, we did incur the $84 million restructuring charge this quarter and expect to incur additional charges in future quarters, which in aggregate, we expect to be significant as we fully roll out our cost reduction plans. Finally, I did want to highlight that we expect operating expenses to be down significantly year-over-year during Q2 as the estimated $1 billion gain on the Costco portfolio sale will be recorded as a benefit in operating expenses. Now, shifting to our capital performance on slide 13. During the quarter, we returned 99% of the capital we generated to shareholders while maintaining strong capital ratios. We continue to believe that our ability to return a high level of capital to our shareholders over the past several years, while maintaining our capital ratios, illustrates the strength of our balance sheet, and business model. We did, of course, complete our submission for the 2016 CCAR process earlier this month, and as I'm sure you're all aware, the process continues to evolve each year. While our 2016 CCAR submission reflected the benefit to our capital ratios from the Costco portfolio sale, I'd remind you that the submission also reflected a number of other changes versus the prior year, including the loss of Costco related economics, our reduced earnings outlook for 2016 to 2017, and a more challenging set of economic assumptions in the Fed's severe scenario. Our capital plan for the upcoming year will clearly be dependent upon the Fed's view of our capital adequacy, and we expect to hear back from them about our submission in June. So let me now conclude by stepping away from some of the complexity I just took you through and going back to the key themes in our results and outlook for the balance of the year. Overall, our performance during the quarter was in line with the expectations we outlined at Investor Day. We continue to believe that our earnings per share outlook for 2016 and 2017 remains appropriate. During the quarter, we continued to make progress on our key initiatives to accelerate growth, and optimize investments including driving new card acquisitions across our global and consumer portfolios, expanding our merchant footprint and increasing our share of U.S. card lending. We also remain focused on controlling our expenses, and the restructuring charge this quarter reflected the initial phase of actions to take $1 billion out of our cost base by the end of 2017. We recognize that we're operating in a new reality and we're focused on our plan to increase revenues and substantially reduce our costs. We continue to believe that the strength of our business model will allow us to drive profitable growth.
Toby Willard - Head of Investor Relations: Great. Thanks, Jeff. As a reminder, our ongoing goal is to provide a greater opportunity for more analysts to ask a question during the Q&A session. Therefore, before we open up the lines for Q&A, I will ask those in the queue to please limit yourself to just one question. Thank you for your cooperation in this process. With that, the operator will now open up the line for questions. Cathy?
Operator: Thank you. And our first question will come from Chris Brendler with Stifel. Go ahead, please.
Christopher Brendler - Stifel, Nicolaus & Co., Inc.: Hey, thanks. Good afternoon. Thanks for all the detail on Costco and JetBlue. I guess, my one question would be, when you think about the growth rate in the second half of the year, you saw a little pickup this quarter. Do you think that the trends you're seeing in the business, the investments you're making, we can see the billed business continue to accelerate all else being equal? Or is it too early to say at this point? And also when it comes to the international markets, what do you expect to the interchanges in the EU, has that had the impact on billed business at this point? Or is it only on the interchange on the discount revenue side? Thank you.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Thanks, Chris. A couple of questions there. So, we tried last month at our Investor Day to lay out some level of detail, both our expectations for 2016 and 2017, as well as the really key initiatives that we are focused on in both the accelerating revenue side as well as the cost side to achieve those results. As I sit here this afternoon and talk about our first quarter results, as I said in my remarks, I'd say we're tracking with all the both initiatives we're focused on, and we're tracking with the expectations we laid out. You are correct that we feel good today about our efforts to accelerate growth, and we feel good, in particular, about some of our ability to put other AmEx cards into the hands of Costco co-brand Card Members. Clearly, in the second half of the year, we will be very focused on maintaining the loyalty of those and other customers. There will be a lot of change in the industry in the back half of the year, and that's why I added just a few words of caution about the fact that we think we've taken a very balanced view as we provide you an outlook for the back half. But we'll have to see. It's still very early, but so far so good. In terms of the European Union, you're right, the new interchange caps went into effect in December – early December of last year. To remind everyone, while those don't directly impact American Express, we've said for quite a while now that over a period of time as we, on an ongoing basis, negotiate contracts with merchants, we would expect that to put some downward pressure on our discount rates, to some extent if you think about it, it keeps pressure to keep the differential, because we generally have a premium in most of those markets somewhat in line with its history. So that impact you do see reflected in our Q1 results. It's one of the reasons that you see an unusual decline in the discount rates. By historical standards, it will probably take us a couple of years to work through a negotiating cycle with all the merchants. In terms of the impact on volumes, we feel pretty good about the volume trends in Europe in Q1, and we feel pretty good about them in the U.K., in particular. We are very focused on using all the aspects of our business model and our closed loop to really create and sustain great value propositions for our customers. We think we have a tremendous ability to do that, and the interchange caps create some competitive challenges for others and perhaps some opportunities for us. So, we'll have to see how all that plays out over time, but right now we're pleased.
Christopher Brendler - Stifel, Nicolaus & Co., Inc.: Thank you, Jeff.
Operator: Thank you. Our next question will come from Craig Maurer with Autonomous Broker. Please go ahead.
Craig Jared Maurer - Autonomous Research US LP: Yeah. Hi. Thanks. Loan growth was definitely accelerated faster than we had expected. Could you talk about perhaps the breakdown of loan growth coming from new card holders versus growing lending balances with existing cardholders? And if there's any change in the credit profile of these incoming balances? Thanks.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Sure. Thanks for the question, Craig. Yeah, we do feel good about the last several years. I do want to keep coming back to our performance and our ability to grow our lending book, which is predominantly U.S. consumer, at rates above what you're seeing in the industry is not a new trend. It's something we've been doing for a few years. You've seen a modest increase in the differential between us and the industry, but the whole industry, as you know, Craig, has also trended up a little bit this year. When you look at the composition of the Q1 increases, as Doug Buckminster talked about it at Investor Day, it's about one-third coming from existing customers and about two-thirds from new customers. And when you look at the credit profile, we continue to feel really good about our success in achieving these growth rates some time ago, sustaining them, and doing it in a way that keeps our average credit profile quite consistent with our history. So we think there's a lot of reasons we've been able to do this, and there's a lot of reasons we should be able to continue to do it for a long time, when you look at the fact that we historically under-index on the portion of our own customers and people who look like our customers' borrowing behaviors. And so we think with our renewed focused on having the right products, the right marketing, the right offers, out in the marketplace to better attract our fair share of those behaviors that we have a long runway to continue to achieve the kind of performance you saw in Q1.
Craig Jared Maurer - Autonomous Research US LP: Thank you.
Operator: Thank you. And we'll go next to Sanjay Sakhrani with KBW. Go ahead, please.
Sanjay Sakhrani - Keefe, Bruyette & Woods, Inc.: Thank you. Good evening. So, just a question on the new account conversion, the spending, that seems a little bit slower than years past. And I was just wondering is that because of the core shrinking kind of offsetting that? Or is it just that those new accounts aren't converting the spending as quick as in the past? And then just a very quick clarification on the caution, Jeff, that you cited in the second half. Is that just that those Costco card holders that have new AmEx card products stopped using that product or are there other items that we should be considering? Thanks.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Two good questions, Sanjay. I think when you look at the cycle, if you will, from when you put a new card into someone's hand to when it begins to get used, when for those who are going to be revolvers, balances begin to build up, there is a historical average that would probably cause us to say you're going to see the real meaningful financial impact begin to – or positive financial impact begin to happen more in the second year and third year, partly driven by the fact that historically in the industry we have a range of incentives and offers that go with the card acquisition. In the current competitive environment, I would say that's true now. So one of the factors, as you think, Sanjay, about some of the comments we've made about being very focused on seeing acceleration in our revenue growth, adjusting for Costco, in the back half of the year is as we just look at the sheer math of the various new Card Members that we've acquired in recent quarters as they age through the process I just described, you will begin to see an uplift as we get into the back half of this year. In terms of my cautionary comments, you're correct, there is nothing more than really me flagging what I think should be obvious to everyone, which is the size and magnitude of the portfolio transfer we are about to engage in on the Costco portfolio with Citi is, I think, pretty unprecedented in the industry. So that just makes us slightly cautious about our own forecasting abilities in terms of how consumers will behave, because we don't have a perfect precedent for all of the conditions that we see changing in the industry. And it would manifest itself as you point out, Sanjay, through what behavior Costco co-brand Card Members who have some other AmEx product which they may have had for a long time, or short time, how their behavior changes if they can't use the AmEx card at Costco. And for that matter, how AmEx Card Members, not Costco co-brand Card Members, but just other types of AmEx Card Members who traditionally do some portion of their shopping at Costco, how their behavior changes. So all that is factored into our outlook with what we think is a fairly balanced perspective on the ups and downs, but there's probably a little bit more forecasting error than I would say is usual for us.
Sanjay Sakhrani - Keefe, Bruyette & Woods, Inc.: Great. Thank you.
Operator: Thank you. Our next question is from Bob Napoli with William Blair. Go ahead, please.
Bob P. Napoli - William Blair & Co. LLC: Thank you. The OptBlue program and other merchant expansion programs, as you said, Jeff, have been a huge initiative for American Express. Can you give us some feel for the uplift in spend that you're seeing from the merchant expansion efforts that you're making in the U.S. and in other markets and any update on your progress.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: So let me focus, Bob, mostly on the U.S. You're correct. We're rolling out programs similar in spirit to OptBlue in various other countries. They have to vary because the acquiring landscape, the regulatory landscape varies in every country, but those programs tend to be newer than OptBlue which we've now been at for a couple years. That said, we've said from the beginning that it's a multi-year effort to get to where we want to get to with OptBlue. One of the targets we laid out for the first time at Investor Day, you know, Bob, a few weeks ago, was saying we think we can get to parity coverage in the U.S. by 2019. And I think we're always cautious in saying you have to get to parity coverage in reality first, and then you have to also take some time to let the perception of that coverage also catch up to the reality. So this is a long game we're playing. We are pleased with how it's going in terms of our ability at this point to say we have merchant acquirers who are part of the program who basically cover 99% of the merchants in the U.S. Not all of those acquirers, though, a few of the big ones still will be rolling out as we go through the rest of the year. So – so it's a long game, we think it's going fine, but the really material impacts take some number of years to really be seen in the financials. In the meantime, the point I was trying to make in my remarks is in the short term, even before perceptions change and perceptions changing will ultimately help you with the acquisition response rate with overall share of wallet, et cetera, but in the near term, you clearly get the incremental spend of the incremental merchants you're signing up. There is the lower discount rate impact fee every quarter. There's also some savings on the OpEx side because we used to pay some fees to our third-party acquirers we're not paying anymore. When you net those three pieces together, ignoring any potential share of wallet or acquisition efficiency benefits, that number turned positive in 2015. It's a very modest number. So it's not a number overall you would go notice in the financials because remember, coverage is about small merchants who are really important to the perceptions of coverage but, in fact, don't drive that many or that big a percentage of the overall spend dollars. So that's where we are. We feel good about the program. We feel good that it's today on a pathway where it's having a positive impact on the P&L. But the really larger vision and more material impact is clearly some time away.
Bob P. Napoli - William Blair & Co. LLC: Thank you.
Operator: Thank you. We'll go next to Rick Shane with JPMorgan. Go ahead, please.
Richard B. Shane - JPMorgan Securities LLC: Hey, Jeff. Thanks for taking my question this afternoon. The 3 million new account number that you cite, I assume, is a gross number. And I'd like to parse that a little bit. You made the comment that if there's about 2.1 million domestic and that that number is being influenced by the conversion of some of the Costco customers. As I recall, there were about 10 million accounts. So I'd love to get a sense of where you stand, sort of how far along you think you are in potentially converting those customers so that we get a sense of how much of that's organic growth versus how much is retention of those existing customers.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Well, that's a good question, Rick, and I think you're probably not surprised to say I'm a little cautious about giving you precise numbers right now for competitive reasons. But let me try to help you and others think a little bit about the magnitude here. We showed a slide, not this quarter but I think the last two quarters a little bit of his – two quarters ago, with a little bit of history on card acquisitions and you're right. These are gross numbers. We don't net out attrition through attrition hasn't changed a lot the last couple of years. There's some lumpiness and attrition because there are times when we'll embark on a program where we take inactive accounts and terminate them. But attrition materially hasn't changed much in a few years. So that slide two quarters ago will give you a little bit of a sense for some of the historical numbers to compare that 2.1 million to. And as I said in my remarks, some good portion of the increment above the standard run rate, though not all, is driven by the success we've had in putting other AmEx products into the hands of Costco co-brand Card Members. When you think about retention, I'd just remind you, though, of a couple other things we've said over the course of the past year. One is that we talked a while back about how in Canada, where there was no portfolio sale, at one point last year, we talked about retaining a little over 50% of the out-of-store spend. And when we said that, we were very quick to say, and in the U.S., you would expect the number to be significantly lower because there is a portfolio sale. And because we have been and continue to operate under a series of contractual restrictions about how we can market to Costco co-brand Card Members, and once the sale happens in mid-June, those Card Members will no longer be known to us, and they will be customers of one of our competitors. So that should produce a very different result. Within the box I just tried to paint for you, though, I would say we're pleased with our results thus far. But I will go back a little bit to my response to Sanjay's question and say the real battle for the hearts and minds of our customers is still in its early stages, I would say.
Richard B. Shane - JPMorgan Securities LLC: Okay. And in the context of the idea that you want to convert existing charge card customers to borrowers, when a card customer elects to have the option to pay over time, does that count as a new card?
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Well, I think – so you're correct, Rick. If you are a charge card holder we have a product, we call LOC, lending on charge, that allows you to carry a balance. And some portion of our loan growth comes from our probably renewed focus on both marketing that product, making it easy for our customers to use, and some of our customers really like that. That would not count as a new card. But it is one of the things – one of the many things we're doing to help drive a little higher growth in our loan balances. I think it is important to point out though, Rick, another change though you have seen really over the last couple of years is a little bit of a renewed focus by us on making sure we also have the right lending-oriented products. And I think the launch of the EveryDay card is a good example of that in recent years. Clearly, there's a lot of focus these days on the cash-back market and we think our Blue Cash card is a very competitive and generally lending-oriented card in that space. So, yeah, we talk a lot about the breadth of our product line and we really believe in the breadth of our product line, because it allows us to have many different kinds of value propositions so we can reach out to many different segments of the marketplace. And I think our efforts around lending, whether it be what we're doing for charge Card Members through LOC, or some new products like EveryDay, or some products that have been around for a little while like Blue Cash are all manifestations of that strategy of having a very targeted and broad product strategy.
Richard B. Shane - JPMorgan Securities LLC: Great. Jeff, thank you, as always for the time.
Operator: Thank you. And our next question will come from David Ho with Deutsche Bank. Go ahead, please.
David Ho - Deutsche Bank Securities, Inc.: Hey. Thanks for taking my question. Circling back on, again, the variability and your ability to forecast customer behavior in the second half of the year, and really getting to the Costco card that has been offered, the replacement card, was the value proposition that meaningfully different than what you were expecting? And how does that impact the range of rewards and investment spend as part of your strategy?
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Well, let me maybe, David, make a few comments. I don't want to make too many specific comments about a competitor's product. I would point out though that obviously we were quite engaged in negotiations with Costco ourselves. And as part of any co-brand negotiations, you talk a lot about the value proposition as part of the negotiation. So I don't think we were particularly surprised. I'd make a few other points, though, and I'm going to go back actually to something I just said in response to Rick. We really focus on and think a strength of ours is the breadth of our product line and the way that allows us to have different value propositions for different segments of the market. There is not one cash-back market. There's not one rewards market. There's lots of different customer segments, and they value different things. The Citi Costco product will be a good product that will appeal to a certain demographic, a certain segment. I would point out it's sort of a cash-back product. You can actually only use it, including our co-brand card, at Costco in terms of the rewards. And if you look at our cash-back portfolio, the Blue Cash product, we feel really good about that value proposition. It has been a real – one of the real engines of customer acquisition for us. It's got good economics. It is a lend-oriented product to some of my comments fairly earlier. And it seems to compete very well in the face of the current competitive landscape, which in pure math probably includes some products that are a little richer than the Costco co-brand. So I think we feel pretty good about where we are. And I wouldn't anticipate that there's anything that we've seen in the latest announcements that will cause us to change our current strategies. I also want to come back, David, to your comments about the second half. Maybe I want to be a little careful here and not overplay the forecast uncertainty in the second half. The reason I brought it up is I thought I was stating something fairly obvious, which is that it is an unprecedented change in the industry. We are trying very hard to be transparent and balanced in our outlook. And so as we have said for quite some time, the second half by definition includes a little bit more uncertainty. But there's really nothing new about our view there. There's nothing new that we've seen in the marketplace that caused us to be any less certain. And in fact, with each passing week, we know more than we knew the week before.
David Ho - Deutsche Bank Securities, Inc.: Okay. That's very helpful. And then your comments about the rewards and kind of the diversity of your programs versus the industry, what do you think are some of the key enhancements? We've seen some merchant-funded rewards that are obviously enabled and facilitated by your closed loop. You've seen a little bit on the coalition rewards. Does part of the strategy entail making certainly the spend activity and lend activity from every dollar of rewards more meaningful than your competitors? Is that something that you're focused on, not just the earn rate?
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Well, I think, David, that's a good question. I think I'd actually broaden your statement a little bit. So in our experience, customers make decisions for many different reasons and value different things. And we really try to focus on both having different products that target what each customer segment most values and trying to think about and really leverage the things that we can most uniquely offer. So the strength of our brand is the first thing I think you always have to start with, which is the strength of our brand and its reputation for high-level service, and trust, and really taking the side of our customers is something that I think is hard for others to match, and we think is something that allows us to appeal to customers as something that is difficult for a competitor to copy. When you look at the rewards oriented customer, the breadth and depth and size of our membership rewards program allows us to offer a range of ways for people to use what's really an alternative currency in some way. It is very difficult for others to match, because they just don't have the size and scale of the program we have. When you look at our closed loop network, you're correct. It allows us to do some things on the offer side in particular not only do some things that are merchant funded, but also do some things that use our evolving big data capabilities to be very targeted in ways that are difficult for others to match. We have the lowest fraud rates in the industry, which is part – one part of the advantages of our closed loop, very difficult for others to match. So I could go on, and we should go on to the next question, but the point I'm trying to make is we are all about trying to think about the unique things we can offer to a customer that derive from our unique position as a closed loop global network with a great brand and great reach, rather than just say this is about mathematically competing on one particular aspect of a card's economics.
David Ho - Deutsche Bank Securities, Inc.: Great. Thank you.
Operator: Thank you. Our next question comes from Moshe Orenbuch with Credit Suisse. Go ahead, please.
Moshe Ari Orenbuch - Credit Suisse Securities (USA) LLC (Broker): Great. Thanks. Jeff, you clearly spent a lot of time thinking about the revenue and spend and lend contribution from Costco. Could you give us a sense, maybe even if it's not a precise number, as to how much of the remainder is actually due to those customers that have taken an AmEx card in replacement of the Costco card? And therefore, what it might have – what benefit it might have been to the company's growth in the first quarter. And similarly, did you also analyze what the leap year impact was on this year's – on the acceleration of the growth rate?
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Yeah. So two good questions, Moshe. So the leap year, there's a little bit of arc but obviously it's somewhere around 1% in terms of billings. You could have an interesting discussion about customer behaviors, so there's an extra day in a month, but it's probably somewhere around 1%. You have other year-over-year factors as you think about the quarter as well. I would point out you have lower gas prices, we're particularly T&E oriented probably more than most, so lower airline ticket prices in my old industry probably impact us as well. When you think about Costco, as I said in my remarks, when you look at the incremental cards we're acquiring, a significant portion of the increment is driven by those efforts but other AmEx products into the hands of Costco co-brand Card Members. I don't want to be more specific for competitive reasons beyond that. What I would say is that's also part of what drives our statement as I said earlier that we'd expect as you get into the back half of this year and next year, a little bit further uptick in the financial metrics, because as we put those cards in the hands of people, it does take some time before you really see a meaningful financial impact, you've got to put the card in people's hands. They slowly start to build spend, lend takes a while to build, et cetera. So those are probably the added comments I would make about our Q1 metrics, Moshe.
Moshe Ari Orenbuch - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks.
Operator: Thank you. And we'll go next to James Friedman with Susquehanna. Go ahead, please.
James Friedman - Susquehanna Financial Group LLLP: Hi. I just wanted to ask about the target, the eventual parity in merchant acceptance. Is all of that incremental parity going to come through OptBlue? And would it make sense at some point to re-compete part of the GMS portfolio with outsourced merchant acquirer processing?
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Well, let me – again, let me make sure I know exactly where you're going with the question. The answer to the first part is pretty straightforward. Yes. When you look at our coverage today versus that of the two dominant networks, it's really – the gap is all about small merchants for the most part with very rare exceptions like Costco which only accepts AmEx today. And medium and large size merchants generally we deal with directly and our coverage is pretty much at parity. So it's really all about the small merchants, and that's where we clearly concluded that we need the arms and legs and help of the third-party merchant acquirers to reach the many, many, many millions of small merchants where there is a fair amount of churn as well to get them into our network. That's also why as we just look at the sheer math the fact that we now have agreements with merchant acquirers who cover 99% of the merchants in the U.S., we feel pretty confident in saying it's a matter of time before they are able to put us into all of those merchants. So that's the logic behind OptBlue and how the small merchants fit in with the medium to large merchants. So the question is, are we learning anything in OptBlue that would cause us to change our view about the direct connections we have with the larger merchants? I would say the short answer is no. We really value those connections. I think the merchants value them. We are able because of the closed loop – this goes to some of the comments I made earlier we think to bring some value to those relationships that are not always easy for others to match and so we very much want to keep those connections.
James Friedman - Susquehanna Financial Group LLLP: Thank you.
Operator: Thank you. Our next question is from Matthew Howlett with UBS. Go ahead, please.
Matt P. Howlett - UBS Securities LLC: Thanks. Jeff, just a clarification on the provision for loan losses. Has the reserve release fully come out of the Costco sale now? Just want to get a starting point in terms of how we think about building provisions going forward once the Costco is out and that 12% adjusted that you kind of – will we see any more reserve releases? Is that part of the $1 billion gain? And where should we look at the starting point for that? And then just one follow-up on just interest rates, how do we think about that in your guidance? Thanks.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: So, let me make sure I – jump in if I don't quite answer this or your whole question. But I think you're just after – if you look at Costco, the provision now all appears down in OpEx and is treated in effect as a valuation allowance against the held-for-sale portfolio that is on the balance sheet net, if you will. So that's why in the [storage] slides we had kind of a left-hand side which shows you the GAAP numbers, and the right-hand side were to provide you comparability if we stripped all the Costco-related provision out of the prior year, because that should give you a very clean view into the run rate that you will see beginning in the third quarter, because that will be the first quarter where the Costco portfolio was gone for the entire quarter. So I think if you just trend off that right-hand side of the slide, that should give you a pretty clean view into Costco. And I think your second question was around interest rates?
Matt P. Howlett - UBS Securities LLC: Right, yes, just – yeah, the outlook there, are you just looking at the forward curve, and is that kind of all there is to it?
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: You know, we certainly don't profess to have any view that others don't that allows us to forecast interest rates. I'd also remind you of two things. Because our company economics are 75% to 80% discount revenue and fee revenue driven, we are far less interest rate sensitive than our competitors and peers, and because of our charge card franchise, we're the opposite of most of our peers in that a rising interest rate environment is not positive for us. That said, if you looked to Q1, the reality is it takes a while for particularly our funding rates to adjust much, so I would guess that the Fed's December rate rise was probably pretty neutral for us on balance in Q1. I don't think it really had a material impact one way or the other.
Matt P. Howlett - UBS Securities LLC: Great. Thanks, Jeff.
Operator: Thank you. And our next question is from Don Fandetti with Citigroup. Please go ahead.
Donald Fandetti - Citigroup Global Markets, Inc. (Broker): Yes, Jeff, do you have any updated thoughts on the timing of the DOJ case? I know there was some talk around it at the Investor Day. And then in relation to that, how should we think about your 2017 guidance? Do you have enough cushion built in should you lose that case, or is it more of a long-term issue where we don't need to worry about that for guidance?
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Well, in terms of the case, I'd say we could hear anywhere from tomorrow morning to a year from now. There's just no way to know really what the timeline is, the appellate court finished their hearings some months back. As you recall, very importantly, and very unusually, after or around the hearing, they chose to reinstate a stay on the district judge's order. That's quite unusual for a court to do. But we'll have to see where the opinion comes out and as I said we really just have no insights into the timing. You know, is it contemplated in our 2016 and 2017 outlook? Obviously, we'll have to see what the judge says. I guess I'd make a couple of comments. One, the district judge's order was fully implemented for some number of months until the appellate court put a stay back on it. So it's not – there you certainly didn't see any immediate impact in that instance. And clearly, we wouldn't be fighting this case and going to court with the federal government if we didn't think there was a very important and fundamental issue at stake here. I would say it's a very important and fundamental long-term issue.
Donald Fandetti - Citigroup Global Markets, Inc. (Broker): Okay. I got the sense at the Investor Day that was more of a – you thought you could hear something in the very short term, but I guess that's not the case.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Well, yeah, that was some weeks ago and we haven't heard a word. And truly we have no insights into when the court might issue. I'm not even sure we get any advanced notice. I think they just posted to their website. We see it as others see it, so...
Donald Fandetti - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: Thank you. We have a question from Bill Carcache with Nomura. Go ahead, please.
Bill Carcache - Nomura Securities International, Inc.: Thank you. Good evening. Hi, Jeff. I was hoping that you could help us think through the Costco gain in a little bit more detail. And I guess when we think about this quarter, we saw that JetBlue gain was entirely offset by marketing and promotion. And that seems very consistent with how AmEx has handled similar types of gains in the past. But as we look ahead at Costco, that's going to be a much larger gain. And you also said that you were going to be spreading out your investment spending more evenly. So should we, putting those pieces together, conclude that we're going to see potentially a bigger portion of the Costco gain next quarter drop to the bottom line? And maybe you'll kind of save some of the reinvestment opportunity for later quarters?
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: So, Bill, I think you got it just right. Just to confirm, and I'd play back what you said using slightly different words. So, yes, we expect the Costco gain to come in, in June, approximately $1 billion. Unlike previous years, we are spreading across evenly throughout the year our investment or growth-oriented spend, the biggest chunk of which appears in marketing and promotion. So to be very granular, that means that if you just look at our marketing and promotional line for all of 2016, you should expect it to look about like it did in 2015. And in fact, you just saw us in Q1 raise Q1 closer to an average level that you will see across the next three quarters. So that's what you'll see on the marketing and promotional line. And so really, the gain will mostly, to your point, fall to the bottom line in the second quarter although I do think there's one other important caveat to remind people, which is we do expect more restructuring charges, including some, hard to quantify right now, in the second quarter and those would be some incremental offset to the gain as well. And those restructuring charges, just to be crystal clear, because of the challenge in trying to estimate them, we have, as we provided our $5.40 to $5.70 EPS outlook, said that excludes all restructuring charges this year, just to give you a clearer, cleaner view into the performance of the company.
Bill Carcache - Nomura Securities International, Inc.: That's great. Thank you. And maybe if I could dovetail off of Rick's question earlier. Could you also add what customer acquisition costs looked like relative to history? I just wanted to follow up with that and that's it. Thank you very much.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Yeah. I guess a way, if you – the way to think about that, Bill, would be to say if you go to Investor Day, I made the point that as you roll into 2017, you should expect to see our marketing and promotional costs come down $200 million to $400 million. And most, though not 100%, but most of our customer acquisition costs appear in that line. And so that gives you maybe some rough sense of the level of elevation. If that line is $3.5 billion this year and you're talking about a $300 million, let's pick a midpoint, decrease that says maybe you're coming down 10% next year, which also implies that you're sort of elevated 10% this year. So it's an important increment in light of the goal we have around the spend and lend of the Costco co-brand Card Members. It's an important percentage in terms of the competitive environment. But I think sometimes people overplay just how big that increment is as we get ever more efficient with our acquisition efforts every year, and I made the point that two-thirds of our consumer acquisitions in Q1 were digital. It's those kind of statistics that would give us confidence that we can continue to edge that number down without seeing a significant impact on our acquisition efforts.
Bill Carcache - Nomura Securities International, Inc.: Thanks, Jeff.
Toby Willard - Head of Investor Relations: And I think we have time, Cathy, for just one more question.
Operator: Thank you. That will come from Mark DeVries with Barclays. Please go ahead.
Mark C. DeVries - Barclays Capital, Inc.: Yes, thanks. I was hoping to get a little bit more color and commentary around the economics of the Cash Blue card, which sounds like it's a pretty meaningful contributor here to loan growth. And also the impact on rewards costs if you factored in cash-backs, I believe you treat those as a contra-revenue. And the reason I'm asking is because it seems like it has the potential to be maybe the most expensive product you have if customers look to optimize. I'm just looking at the current offer and it's 0% on balances for the first 12 months, 10% cash-back on wireless phone service, 6% on supermarket spend, and 3% on gas. So, if a customer really optimized, you could have cash-back expense far in excess of what your blended discount rate is. So, just interested to hear your thoughts on that.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Well, I'm going to go back a little bit, Mark, to some of my earlier comments about what we try to do at American Express with all of our products is leverage all of the attributes of the company and our brand. And so, we are not particularly trying to target, to use your term, the gamers. And in fact, we'll work a little bit to specifically not attract the gamers. So, we feel pretty good, I would say, on balance about the economics of the Blue Cash card. And certainly one of the things we watch is the overall portfolio of consumer cards that we have in the U.S. or for that matter in any market. And so when you look at our card acquisitions, yes, the Blue Cash card has been a particular important acquisition engine in recent quarters, but I'd point out to you that's because part of what we're trying to do is put replacement cards in the hands of people who formerly had a Costco co-brand card. And so the Blue Cash card tends to appeal to that segment of the market. Meanwhile, we've continued our historical acquisition efforts with Gold, with Platinum, the Delta card is going tremendously well, and I think you've heard Delta make some comments about that as well. So, we have a range of products, and Blue Cash is just one of them which appeals to a particular segment is lend oriented and is producing perfectly fine economics for us. In terms of an overall rewards rate, we don't really look at it that way. I guess what I'd say is certainly rewards costs, the cash rebate rewards costs are growing faster than our company average, because those products are growing faster than the company average. And you see me calling that out a little bit in my discussion earlier about the calculated discount rate. There is still a very modest piece of the overall company's cards and economics, though, is one important thing to keep in mind. So, look, I'd say this is all part of our strategy of having the broadest product line and offering lots of different value propositions. We make sure that all of the value propositions are economic for our shareholders while providing good value to customers, and I think the Blue Cash card fits right into that vein.
Mark C. DeVries - Barclays Capital, Inc.: Okay. Thanks.
Jeffrey C. Campbell - Chief Financial Officer & Executive Vice President: Thanks, Mark.
Toby Willard - Head of Investor Relations: Great. Thanks, everybody, for joining the call tonight, and we appreciate your continued interest in American Express. That's all for us, Cathy.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for choosing AT&T Executive Teleconference. You may now disconnect.